Operator: Good morning, everyone. My name is Danielle, and I will be your conference operator. Welcome to the Tiendas 3B Third Quarter 2025 Conference Call. [Operator Instructions] Also, please note that this call is for investors and analysts only. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made during this conference call are based on information that is currently available to us. Today, we are joined by Tiendas 3B's Chairman and Chief Executive Officer, Anthony Hatoum; and Chief Financial Officer, Eduardo Pizzuto. I will now turn the call over to Anthony. Please go ahead.
Kamal Hatoum: Good morning, everyone, and thank you for joining Tiendas 3B's third quarter earnings call. I will begin with a review of our operating results for the quarter and will be followed by our CFO, Eduardo Pizzuto, who will provide an overview of our financial performance. We will conclude with a Q&A session. We've delivered another quarter of exceptional growth, outperforming other listed players. We opened 131 net new stores in the quarter for a total of 3,162 stores. We opened 2 distribution centers in the quarter for now a total of 18. Our LTM store openings are 528 stores. Same-store sales grew by 17.9%. Total revenues increased by 36.7% to reach MXN 20.3 billion. EBITDA reported a loss of MXN 404 million. If we exclude our noncash share-based payments, then EBITDA increased by 43.6% and reached a positive MXN 1.2 billion. For the 9 months of 2025, cash flow generated by operating activities reached MXN 3 billion or a 30% increase year-on-year. We ended with a net cash position of approximately MXN 1.1 billion. In addition to this, we have $151 million in short-term deposits. Let's turn to operational performance. We are increasing the number of store openings. In the first 9 months of 2025, we opened 390 stores. This compares to 346 stores opened in the first 9 months of last year. Revenue growth remains rapid. We continue to be one of the fastest-growing retailers globally. Total revenues reached MXN 20.3 billion or an increase of 36.7% year-over-year, this, with a very strong same-store sales growth of 17.9%. Same-store sales is being driven by the continuous improvement of our value proposition to customers and more consumers realizing that. When comparing to ANTAD, our gap continues to increase. Our gap versus ANTAD is almost 17 percentage points today. I will now pass the microphone to Eduardo.
Eduardo Pizzuto: Thank you, Anthony. Good morning, everyone. Sales expenses as a percentage of revenue increased from 10.1% to 10.2%. On one hand, we see real operational leverage as our store mature. On the other, we see this quarter an increase in D&A expenses as a percentage of revenue. I expect that next quarter, the comparison will be more favorable. Admin expenses, excluding share-based payments, increased by 16 basis points due to investments in new regions and hiring more talent. With respect to share-based payment expense, these are noncash and already reflected in our fully diluted share count. Please see the appendix of this earnings release. You can also see the projection of this noncash expense in the appendix. EBITDA increased 43.6% to reach 5.8%, driven by sales and margin growth and operational efficiency. I want to touch on operational leverage and margins. Close to half of our stores were opened in the last 3 years. When we look at our older vintages, their EBITDA margins are close to those you would see at other hard discounters. As you know, we don't drive to an EBITDA. It will naturally increase over time as a consequence of all the good things we are doing. Ours is a business model that generates significant negative working capital. And in turn, we generate significant cash flow from the changes in negative working capital. We can see, for example, that in September '25, we had MXN 7.8 billion compared to a negative working capital of MXN 5.4 billion in the third quarter of '24, excluding IPO proceeds. We are roughly at 10.8% of total revenue, excluding IPO proceeds. I will now turn the call back over to Anthony for some final remarks.
Kamal Hatoum: We are hitting or exceeding our targets with same-store sales that stand out versus industry. Our business is robust, noncyclical and battle tested. In terms of store growth, we have significant runway with room for no less than 14,000 3B stores in Mexico. Today, we are opening more stores and faster. Our same-store sales growth is not only due to our newer stores, our older vintages continue to grow their same-store sales faster than inflation. This is driven by the continuous improvements in the products we sell both in terms of quality and price. Our brand equity continues to strengthen. This drives a faster sales ramp-up of our newer stores and draws new clients to our stores. Our older vintages are already showing EBITDA margins that are in line with those recorded by other listed hard discounters. We continue to invest in talent. We believe that this is a key success factor. The talent density within our team stands out in the market. Our share-based compensation approach has been a key driver to our success. It attracts entrepreneurial talent and aligns everyone with shareholders. Just as a note, our Board of Directors decided in its last meeting not to make additional reserves for our equity incentive plan for the year 2026. We continue to do the same, just better and faster. The future looks bright. We'll now start the Q&A session. So please go ahead, operator.
Operator: [Operator Instructions] And our first question is coming in from Bob Ford at Bank of America.
Robert Ford: Congratulations on the quarter. Anthony, I know your gross margin is a dependent variable, but can you comment a little bit on how you're thinking about your current value propositions and the volume response? And do you see any need to further sharpen value propositions? It looks like there's been some additional price reinvestment in the marketplace. And then I was wondering if you could also tell us how we should think about market share in the trade areas around your oldest cohorts and the implications for some of the younger units. And then as you scale, I was curious if you're beginning to see unsolicited interest from national suppliers, right? And as you scale, how should we think about your use of national suppliers, particularly as you go into new categories and segments just because those smaller vendors may not be able to supply you in terms of the quantities that you'll need as you continue to grow?
Kamal Hatoum: Let's talk about margins. Because we're scaling, you'll naturally see an improvement in our commercial margin over time because on one side, you're lowering your purchasing costs and two, you're increasing your logistics efficiency. And the question, as we have seen many times is, okay, how does that translate into percentage margin versus an investment in price? And I've shared before that on the pricing side, it's dynamically set by doing elasticity testing. But the bottom line is that we are improving our value proposition to our customers. So we're increasing scale, and we are also opening new stores. So we're increasing scale, and therefore, we're getting better purchasing terms across the board. And naturally, over time, we will see a very natural increase in margins. However, I stress that quarter-to-quarter, we will see volatility in this number, and this is very normal. As you know, we don't set any specific targets for margin, but we're very comfortable that over time, this number increases. And if you look at other publicly listed hard discounters, you can sort of extrapolate where this naturally ends. Now in terms of market share related to our oldest vintages, cohorts. Well, we're very pleased to see that even our oldest vintage continues to grow its same-store sales well above inflation. And when we look at it, the main driver is, again, an improved value proposition and what we sell today is so much better than what we sold you 5 years ago. And that, as a consequence, does 2 things. One, it still draws new customers. And from the existing customer base, what we are seeing is purchases of more things within [ 3B ]. And if you look at it numerically, what you see is an increase in number of tickets and an increase in ticket size. And then internally, we ask ourselves the question, okay, how long can this last? When do we reach saturation in these oldest vintages cohorts? And we do extensive market research on these old cohorts, and we see that we have significant room still today to penetrate their wallet. And that is even before taking into account potential new categories that we might introduce. Your last question was about suppliers. There was 2 parts to that question, if I'm not mistaken. One, are we getting unsolicited requests from national suppliers? And my answer is yes. I mean we're becoming a significant player in the market. And therefore, it's only natural that suppliers will come and knock on our door and say, can we do business with you? And that's great. And second, our existing suppliers able to keep up with the pace? And the answer to that is yes. And the reason is simply because we've planned for it a long time ago. All our planning in terms of supply chain is done 3 years ahead of time. So that mitigates the risk -- any risks associated with ensuring that supply is there at the right time. And that's how we operate across 3B anyway. Long-term planning takes out a lot of the execution of operational risks that you would normally have in a business like ours.
Operator: Our next question is coming in from Joseph Giordano at JPMorgan.
Joseph Giordano: I want to explore one thing you mentioned on the release, the fact that new like store vintages are actually maturing faster than initially expected. So my question goes 2 ways here. So first, like, don't you think that like maybe the maturation level -- so the sales at regime is still a moving target. So as you flagged, you continue to see increasing number of tickets or so clients and larger baskets. So that's the first question. And the second question to you goes into like the return levels, right? So back in the day, I recall you guys mentioned a 60% cash-on-cash return on the new stores. So I'd like to understand how the new cohorts are actually behaving in terms of returns because it seems having higher returns. And in that aspect, how should we think about like further expansion acceleration going forward?
Kamal Hatoum: So Joe, you're absolutely right in observing that new vintages mature faster. And therefore, they have improved return on invested capital versus the ones we've opened 10 years ago. And simply put, our brand is better recognized in the market today, and our value proposition is so much stronger than what it was. And therefore, it's natural that when you open a new store, clients come to it much faster and buy more immediately as opposed to taking the time it used to take to get to know us and know if our products are good or not. And that trend, I think, will continue. As long as we continue to improve our value proposition to customers, which is basically our job every day, you will see that phenomenon continue. In terms of -- again, I'm going back to older cohorts and what the returns have been versus today's cohorts. I think the returns are just as good, if not better. And that's due to the acceleration, as you pointed out so nicely. So we are not seeing anything but better numbers in everything that we're opening that's new. And even -- let's say, we take extreme cases of we open a store next to an old store, and therefore, it might cannibalize. And these things happen, but are, let's say, few and far in between. Then we simply look at the 2 stores together and see what their performance is. And together, their performance is better than what it used to be as a single store. So across the board, an improvement in returns and performance for the newer vintages.
Eduardo Pizzuto: And Joe, it's Eduardo. Just to finalize on your questions, as we do on a yearly basis, we update our models, and we continue to update the models. And you're right on the moving target because we have not seen maturation yet. Even for our 2005 vintage, we continue to see very strong increases. So yes, we will do the same modeling this year, and it will be with improved numbers for the coming years.
Kamal Hatoum: Now eventually, like I mentioned in the previous question, theoretically, you reach a point of saturation where there is no more real growth because you're selling everything you can to everybody that is within reach of your stores. But all our research points out that we're far from that point. And like I mentioned before, that's not even taking into account any new potential categories that might come to market via our stores.
Operator: Our next question is from Álvaro García at BTG Pactual.
Alvaro Garcia: Two questions. Eduardo, you mentioned in your prepared remarks that next quarter, we might see more favorable comps on sales expenses specifically. So if you could expand on that, that would be helpful. And my second question is a follow-up on the faster ramp-up of new stores. I was wondering if maybe you could provide a -- maybe some color on the regional basis, you are opening up new regions, new DCs and new regions. So in the context of that faster ramp, is that faster ramp in stores in sort of the central area of Mexico? Or are you seeing that ramp-up in new regions as well?
Eduardo Pizzuto: Thanks, Alvaro. On the -- on selling expenses, it's really related to D&A. What I meant by that is that in -- and this is something that we touched on, on the call on the fourth quarter of last year. So there's a portion of D&A that was recognized in the fourth quarter of 2024 rather than on the third quarter of 2024. So that's why you'll see a more favorable number in fourth quarter of 2025. That's on the selling expenses side.
Kamal Hatoum: In terms of faster ramp-ups, we're seeing them across the board. There is no notable differences geographically or by type of store or by their location. And fundamentally, when we ask ourselves, should there be, and the answer is not really because at the end of the day, we're selling basic goods, things that everybody consumes all the time. And we haven't seen a real change in behavior geographically as we're expanding into new regions. Also keep in mind that in terms of real estate strategy, we have been extremely balanced in where we open our stores on purpose in order to see maybe there is something different as we expand. And the answer is no. It's been very, very consistent.
Operator: Our next question is coming from Alejandro Fuchs.
Alejandro Fuchs: Congratulations on the results. I just have very 2 brief ones, maybe to dig a little bit deeper into Álvaro's question in terms of the expansion. Obviously, you're opening a lot of stores quarter by quarter. I wanted to see if maybe you could share if you see any difference in terms of competition depending on the region that you're entering in Mexico, maybe some of these new regions that you are penetrating or anything that has been interesting that you can share from the new regions? And then second, in terms of same-store sales, you mentioned, Anthony, that this is because of volume, right, number of tickets and mix as more SKUs in the ticket. If you have to pick those 2, how is the proportion? Who is maybe growing a little bit more or adding more to the same-store sales? Is it more volume? Or is it more mix? That will be all.
Kamal Hatoum: Okay. With regards to competition as we are expanding, let me step back and say that Mexico has always been a very competitive market, very dynamic and healthily so. And so we have seen no increase or change in this competitive landscape. And if anything, we are becoming more competitive. So bottom line is no changes in terms of encountering new competition or a different kind of competition. Let me just say that it's strong and healthy competition across the board and has always been the case with a 3B that's becoming more competitive over time versus everything else.
Eduardo Pizzuto: Alejandro, with respect to your second question on same-store sales, what we're seeing is very consistent to what we've seen in the past is that we're seeing more transactions in the stores. And in addition to that, we are also looking into more products in the basket. We don't disclose the percentage of those numbers, but it's mainly coming from having more people coming into the stores and just taking more products home. That's really -- it boils down to those 2.
Kamal Hatoum: And that's versus price inflation, which is minimal in our case.
Operator: Our next question comes from Héctor Maya at Scotiabank.
Héctor Maya López: Congratulations on your results. Two key things on your very strong same-store sales growth, how confident are you on maintaining this space, I mean, particularly next year? And if you think we could continue to see this kind of levels as older stores continue to mature. That would be number one. And the second one is related to the higher commercial margin. I know this comes from your elasticity analysis, scale efficiencies and price negotiation with suppliers, but could you please guide us through your decision process here to define what to do with the savings that you achieved? Like how do you decide how much to take from that? And when do you decide to pass the full savings to consumers just to get a better sense of margins despite quarter-to-quarter volatility?
Kamal Hatoum: Hector, let me start with the last part of your question. So we are generating real savings in purchasing given scale, given stronger relationships with suppliers, given efficiencies across the board that we particularly focus on. I mean we're very focused at seeing where can we save money, where can we improve the value proposition and therefore, where can we increase now volumes because people are buying more of this better product. And you can see the positive flywheel effect. And so comes your question about, okay, so how much of this goes into margin and how much of this goes into price. And we do it on a product-by-product basis, very much driven by elasticity testing in the market. At any point in time, in 3B, you'll have about 60 products that are being tested across the board for pricing elasticity. And we optimize them for volumes and dollar margin. And the result of doing this all the time across all our products is the margin that you see today in our numbers. So it's extremely hard for me to guide you and say, well, this is going to be this much next quarter. But what I can tell you from previous experience and if you look also at other hard discounters, you will see that naturally over time, a certain amount of these savings are going into percent margin and a certain amount are reflected in higher sales curves. So basically, that also drives same-store sales across the board. So again, apologies, but very hard to give you specific guidance, but I can give you the tendency, the trend as one where, over time, it does improve; quarter-to-quarter, it remains volatile. So this sort of leads into your first part of the question, what can I guide you in terms of same-store sales for next year? Would it be as robust? And I can say with a high degree of confidence based on all the work and research we've done that we see no reason why same-store sales would be any weaker than this year. So we expect them to continue to be strong, mainly driven by the fact that we know and we have in the pipeline, significant improvements in the products that we're going to be bringing to market over the next 12 months. If you ask me, does it remain strong 10 years from now, I can probably say, I don't know. But I can say that for the very immediate future for the next couple of years, it remains very strong.
Operator: Our next question comes from Alexandre Namioka at Morgan Stanley.
Alexandre Namioka: The majority of mine have been already answered. But perhaps touching on the -- on what Anthony mentioned about like innovating in the product categories here. If you can give us any update on how the perishables category sort of pilot test is evolving? And if we should see next year already some of these newer categories already in the stores here?
Kamal Hatoum: We're constantly innovating, not only in perishables, but across the board in all product categories. I mean that's what we do. The latest example, the one I'm very excited about is our new ice cream bar, which is a banana with chocolate, and it is a blockbuster. So innovation and bringing in more value to our customers and new exciting products, we still have significant runway without breaking any of our principles of a hard discounter, which is limited assortment and an assortment that rotates very fast and therefore, generates significant amount of negative capital, which is, we think, a competitive advantage. To answer specifically on the matter of perishables, they have -- they're very high potential categories. But however, we have set ourselves very high standards in terms of quality, and other metrics, efficiency back, we want to make sure that the whole value chain is working perfectly before we launch it. But all our tests are extremely positive, and we remain very optimistic about that.
Operator: Our next question comes from Irma Sgarz at HSBC sic [ Goldman Sachs. ]
Eduardo Pizzuto: It's Goldman Sachs.
Irma Sgarz: No worries. Yes. My questions are just a couple of sort of double-clicking on a couple of the other questions that the other analysts brought up on that product development and product mix. Anthony, it's super interesting what you were just saying sort of on the different products that you're bringing in. And I think the earlier comments on how the even mature cohorts of the customers still sort of migrating up in the -- and just increasing the basket size. So perhaps maybe if you could share some color on when you see sort of the typical customer journey, what typically brings them into the store? What is sort of -- is there a path that certain categories are being put in the basket first and then they migrate to new categories? What have you learned sort of in that journey of your customers, especially the oldest cohorts of the customers? And then linked to that, I know you're doing multiple year plannings when you think about both expansion and product pipeline. So I'd be curious if you also have something to share about when you think about demographics and shifts in the Mexican population, how to adapt -- how you have perhaps already adapted your product mix to that? And how -- I think I know some of those examples with some of the sort of health-related items. But more importantly, going forward, if there's any specific trends that you are keeping an eye on and that you're looking to get in front of? And then the final question, sorry to go on here, but hopefully, it's helpful for everyone. When we just think about operating expense leverage into next year, is it -- I know you've sort of -- you've had some heavy lifting around putting some structures in place this year. Is it fair to think that, that should be growing below your same-store sales next year?
Kamal Hatoum: Thank you, Irma. Let's start with the customer journey. And I would say that in general, it's word of mouth. Your neighbor tells you what a great store they have been to. And suddenly, you decide to go visit it, and it happens to be walking distance and in your neighborhood. And you walk in and you do see a lot of brands that you're not familiar with. And our private labels are managed as brands, and we position them and communicate them as well as any FMCG company would do in the market, but you're not familiar with them. So what happens typically is you would start with basic goods. You'll buy eggs because they're at a great price and they're very fresh. You'll buy oil because it's at a great price. You'll buy rice. But slowly over time, as you've correctly pointed out, you will see, oh, well, they have canned goods, let me try that. And the detergent, I've not tried that. And by the way, anything you buy has 100% money back guarantee, no questions asked. I don't even need to see your receipt. And that's a very powerful trust builder. And over time, you start migrating to more sensitive products. And eventually, you end up trying our cosmetics and you realize that they're great and that they're at a great price, and you have no reason to go back to the other cosmetic that you were using that was much more expensive. And that's what we've observed in the customer journey, and that continues to be true today and more so when we introduce new products. In terms of what we could introduce in the future and what we're working on, some of you have pointed out that we have ongoing tests on perishables, but we also have ongoing tests on many other categories that you won't necessarily pick up as you walk in through the store. And that's true because even though we're focused on basic goods and high rotation goods, we are far from supplying everything you need. And there is a lot of potential to continue to increase our offering in what we currently offer as categories. And I think I've mentioned previously that our stores are designed to absorb much more SKUs without even -- without having to change anything either in store size or logistics or anything in the back office or transportation. And that's very important because that allows us and gives us significant cushion to expand our offering without incurring operational inefficiencies. On the contrary, it's all designed to become more efficient over time as we scale. I'll let Eduardo answer the question on operating leverage, especially as it looks like for next year.
Eduardo Pizzuto: So Irma, without providing any type of guidance, truly, the answer becomes on how fast we expand. And as you know, we've been rapidly expanding, and we believe that will continue to be the case. What's been very helpful for us and the way we view things is what I mentioned in the release is that when we're looking at leverage for the older stores, we're seeing very strong leverage there. And if we divide the company in 2, the stores that have been open for more than, let's say, 2, 3 years, we've seen very strong leverage. You don't see that immediately because of the pace of growth. I mean we've opened close to 50% of our stores in the past 3 years. That's a massive amount of store openings in a very short period of time. So that drags the number down. And as I mentioned in our last call, it's a little bit perverse because the faster we grow, the less leverage you'll see in the very short term. However, that provides and that increases shareholder value drastically. So we will continue to operate in the same way. And we'll provide guidance for the next year in our next call.
Kamal Hatoum: But mechanically, the operating leverage is real and very powerful. Any of you, if you model it, you see it.
Operator: Our next question comes from Alex Wright at Jefferies.
Alexander Wright: Yes. So you've given some indications of the long-term runway in terms of the number of stores that you're targeting. And you've consistently spoken about people constraints really being the main constraint on growth and the pace of expansion. So I wanted to ask, really, as you grow larger, you're obviously increasing the internal talent pool and the average experience of your teams quite rapidly. So is that something that you see alleviating some of those HR pressures that could allow you to expand more rapidly in terms of new store openings than you already are? And then the second question I have is on the CapEx for this year. I believe your budget was about MXN 3.65 billion. You've done about MXN 2.4 billion in the first 9 months whilst being well on track to meet your store openings. Obviously, still have a couple of DCs to open in the fourth quarter. Is it fair to say there's some headroom there to come in below CapEx budget? Or are there certain investments that you expect to make in Q4 that will lead to a pickup in CapEx in the fourth quarter?
Kamal Hatoum: With regards to people, let me just start by saying we set a very high bar. And we're very proud that we invest in talent development and in human resources in general because we firmly believe that, that's one of our key success drivers, what's allowed us to grow now for more than 12 years at the growth rates of plus 30% that you've seen without any hiccups, and that's very unusual. And so we will continue to invest significantly in human resources and in developing talent. And I'm proud to say that I believe we have probably one of the best talent densities of anybody in the market. So going forward, is that an obstacle for expansion? It's always been, let's say, the gating item. But again, as we -- in everything, long-term plan, we work backwards. We say, if we want to open that many stores 3 years from now, how many people do we need? And then we ask ourselves, well, where are these people today? And what do we need to do today to make sure that 3 years from now, we have enough people of the caliber that we want with the profiles that we want in order to open that number of stores successfully and have them operate at the level of quality and efficiency that we'd like them to operate at. So yes, I would say that is always on our radar, but I think we have a very robust plan to tackle that and proof is in the pudding. We're opening more stores today, and they're all very successful. I'll let Eduardo handle the CapEx question.
Eduardo Pizzuto: Sure. Alex, yes, so you're right. We still have a couple of more DCs to open for the [ back half ] of the year. So we opened one. So there's an additional one that will happen in early December and the balance of the year with more store openings. So I think we're going to be very close to the number that we projected late last year around the MXN 3.7 billion.
Operator: Our next question comes from [ Santiago Alvarez. ]
Unknown Analyst: This is [ Santiago Alvarez ] with Summit Management. Congrats on the quarter. We really appreciate the color on growth and EBITDA margins on the older cohorts. Can you provide any information regarding on how the product sales mix is behaving on those older cohorts? Is private label sales as a percentage of merchandise reaching the levels you were expecting?
Eduardo Pizzuto: Santiago, in regards to EBITDA, we don't disclose this number, but conceptually, what I can tell you is we are -- those stores are reaching what other hard discounters in other geographies are reaching. So let's talk about around, let's say, 7% EBITDA margins. So what we're seeing in our older cohorts is that all these stores are starting to get to that number. In terms of the profile of these stores, what we're seeing is, of course, the sales penetration is higher than what you see on a consolidated basis. There's, as I mentioned in previous questions, a significant amount of leverage that gets us to the 7% EBITDA margin. In terms of private label penetration and the profile of these stores is -- I mean, at the end of the day, as Anthony mentioned, we are selling very basic goods that the average Mexican consumer consumes on an everyday basis. So there's really no significant differences between the profile of the stores. All of the stores are pretty much selling the same products. It's just a matter of time for the newer cohorts to get to that level of sales and therefore, profitability. But no major differences from one type of store -- one age of store versus the next. I think you had a second question on private label penetration overall. Is it as were we expecting? And the answer is yes. I mean, as you saw in the numbers that we have published is end of 2023, we were at mid-40s; end of 2024, we were at mid-50s. And this is a number that continues to evolve. If you visited the stores lately, you've seen that we've launched more products, and they're all doing fantastic. So that number continues to be -- we're very happy with the results of those numbers. Let me put it that way.
Operator: Our following question comes from [ Gullie Arshad. ]
Unknown Analyst: Yes. Anthony and Eduardo, congratulations on a great quarter. I have a kind of a sensitive topic I would like to ask you. Have there been any interest from larger national and/or international players about your business? And what are your thoughts of a potential bear hug from them? And I ask this question because I consider your shares very undervalued and your growth is incredible. So would you comment on that?
Kamal Hatoum: The short answer, [ Gullie ], by the way, is not to my knowledge. We've talked with international players in terms of cooperating on certain matters, but the topic of a bearhug has not emerged today. In terms of the shares being undervalued or not, I'll let the market judge on that. This is a company that continues to show extremely high growth, healthy growth and improving returns across every single metric. So hopefully, the market recognizes that at some point.
Operator: [Operator Instructions] We have not received any further questions. I would now like to hand the call back over to Anthony Hatoum for some closing remarks.
Kamal Hatoum: Thank you to our investors who continue to be very supportive and very enthusiastic. Thank you for the analysts who are covering us who keep us challenged with interesting questions. And thank you overall for participating in this call. I'd like to leave you with the thought that our company continues to perform very strongly, and the future looks very bright for us. Thank you again.
Operator: That concludes today's call. You may now disconnect.